Operator: Good afternoon, ladies and gentlemen, and welcome to the Benchmark Second Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] This call is being recorded on July 30, 2025. I would now like to turn the conference over to Paul Mansky. Please go ahead.
Paul Mansky: Thank you, Constantine, and thanks, everyone, for joining us today for Benchmark's Second Quarter 2025 Earnings Call. With us today are Jeff Benck, our CEO and President; Bryan Schumaker, our CFO; and David Moezidis, our Chief Commercial Officer. After the market closed, we issued an earnings release pertaining to our financial performance for the second quarter ending June 2025, and we have a prepared presentation, which we will reference on this call. Both the press release and presentation are available under the Investor Relations section of our website at bench.com. This call is being webcast live, and a replay will be available online approximately 1 hour after we conclude. The company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release as well as in the appendix to the presentation. Please take a minute to review the forward-looking statements disclosure on Slide 2 in the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today's remarks which are not statements of historical fact are forward-looking statements, which involve risks and uncertainties as described in our press releases and SEC filings. Actual results may differ materially from these statements. Benchmark undertakes no obligation to update any forward-looking statements. For today's call, Jeff will start with an overview, followed by Bryan's detail of our Q2 results and forward guidance. We will then turn the call over to David, who will discuss demand trends by sector and some additional color on recent wins. Jeff will conclude with some final remarks before opening the call for Q&A. If you will please turn to Slide 4, I'll turn the call over to our CEO, Jeff Benck.
Jeffrey W. Benck: Thank you, Paul. Good afternoon, and thanks to everyone for joining today's call. Before I get started, I'd like to welcome David Moezidis to the call. Since joining Benchmark 2 years ago in the new role on our team as Chief Commercial Officer, David has brought a wealth of industry experience and operational knowledge to the company. Our second quarter 2025 results once again demonstrated consistent execution with revenue of $642 million and non-GAAP EPS of $0.55, both at the midpoint of our prior guidance. From a highlight perspective, this past quarter represented the seventh consecutive quarter of greater than 10% gross margin. We also experienced double-digit annual revenue growth in 2 sectors and grew sequentially in 3 of 5 in the quarter. As we'll discuss more later in the call, we expect the sequential momentum to continue in Q3 and bodes well for our return to annual growth in fourth quarter. This outlook is further bolstered by our multiyear record bookings in the quarter, led by medical and AC&C, 2 sectors that have been slower to recover. Turning to Slide 5. Let's review the progress we made toward our strategic objectives in the quarter. Year-over-year sector revenue performance was again led by semi-cap and A&D. We're targeting and winning the right business and delivering increasing value add to our customers, which is driving our gross margin performance. At the same time, with our globally diversified manufacturing footprint, we can offer our customers flexibility as they consider tariff implications and look to optimize their global supply chains. Our value proposition is clearly resonating, and we are encouraged by our strong bookings and new deal pipeline. I'm also encouraged by the number of current customers that are choosing to award more programs to us, which is a testament to our operations team's strong performance. Before I wrap, I'm pleased to highlight that we also successfully refinanced our debt in the quarter at attractive rates as well as repatriated a significant amount of cash from China and Thailand in the quarter. I'd like to now turn the call over to Bryan for more detail on the quarter and our Q3 guidance.
Bryan R. Schumaker: Thank you, Jeff, and good afternoon, everyone. Please turn to Slide 6. Revenue in the quarter of $642 million was up 2% sequentially, in line with our prior guidance. Our non-GAAP EPS was $0.55, also at the midpoint of our prior guidance of $0.52 to $0.58. As a reminder, our non-GAAP results excluded stock-based compensation, amortization of intangible assets, restructuring and other expenses. For Q2, our non-GAAP gross margin was 10.2%, up 10 basis points sequentially and flat year-over-year. Non-GAAP operating margin was 4.7%, up 10 basis points sequentially, driven by our improvement in gross margin. Our second quarter non- GAAP effective tax rate was 24%, driven by geographic mix. Please turn to Slide 7 for our second quarter 2025 revenue performance by sector. Semi-cap revenue decreased 2% quarter-over- quarter but grew 11% year-over-year. Industrial revenue was up 4% quarter-over-quarter and flat year-over-year. In A&D, revenue was up 4% quarter-over-quarter and 16% year-over-year. Within Medical, revenue was up 6% versus the prior quarter and down low- single-digits year-over-year. Finally, AC&C revenue was flat quarter-over-quarter, while still down considerably year-over-year. Please turn to Slide 8 for trended non-GAAP financials. As you see, despite our flattish revenue performance over the past year, we have consistently delivered non-GAAP gross margin of 10% or more, which we expect to continue. With our anticipated revenue growth in the back half of the year, we are forecasting non-GAAP operating margin to again exceed 5%. Please refer to Slides 9 and 10 for a discussion of our balance sheet, cash flow and working capital trends. Our cash balance on June 30 was $265 million, a decrease of $90 million from Q1, driven by the following factors. During our Q1 earnings call, we highlighted that our Q2 free cash flow would be impacted by a couple of onetime events related to customs and transition tax payments related to prior years. The net effect of which we would be temporary pause -- a net effect which would be a temporary pause in our free cash flow generation. These charges, combined with our other working capital items and capital expenditures resulted in a $15 million free cash outflow during the quarter. As a reminder, we generated over $80 million in free cash flow over the trailing 12 months ended June 2025. We expect to return to positive free cash flow through the remainder of the year. During Q2 2025, we repatriated $152 million of cash from China and Thailand, $95 million of which we used to further pay down our revolver. In connection with this repatriation, we paid foreign withholding taxes of $15 million, the majority of which we anticipate recovering in 2026. As Jeff mentioned, the company completed a debt refinancing in June, which extended the maturity of our term loan and revolver to June 2030. It also increased our term loan to $150 million from $121 million. All other terms were consistent with our prior debt agreements. As of June 30, we had $150 million outstanding on our term loan and $60 million outstanding against our revolver from which we had $486 million available to borrow. Our Q2 2025 liquidity ratio as calculated by our debt covenants was 0.3, down from 0.7 in the prior year period. We invested approximately $12 million in capital expenditures during the quarter, primarily to enhance capabilities and infrastructure at our Americas and Asia facilities, supporting long-term growth and operational efficiency. Demonstrating our ongoing commitment to return value to shareholders, we returned $6 million in cash dividends and repurchased $8 million in stock during the quarter. At the end of the quarter, we had approximately $134 million remaining in our existing share repurchase authorization. Our cash conversion cycle in the quarter was 85 days, improving 1 and 5 days sequentially and year-over-year, respectively. Inventory days were down 6 days sequentially as we continue to actively manage our inventory. Please advance to Slide 11. Let me now turn to our guidance for our third quarter of 2025. We expect revenue to be within a range of $635 million to $685 million, up low-single-digits sequentially. We continue to anticipate year-over-year growth of low- to mid-single digits in the second half. We expect non-GAAP gross margin to be between 10.2% and 10.4%. With those assumptions, we would expect non-GAAP operating margin to be between 5% and 5.2%. On a GAAP basis, we expect expenses to include approximately $5.3 million of stock-based compensation and $6.1 million to $6.3 million of nonoperating expenses, including amortization, restructuring and other charges. Our non-GAAP diluted earnings per share is expected to be in the range of $0.56 to $0.62. Interest and other expenses are expected to be approximately $5.5 million. We expect our Q3 effective tax rate will be between 23% and 25%. Our weighted average share count is expected to be approximately 36.3 million. With that, I would like to turn the call over to David to discuss market sector performance and outlook. David?
Unidentified Company Representative: Thanks, Bryan, and hello, everyone. Let's please turn to Slide 12 for a discussion of our performance and outlook by sector. In the quarter, our semi-cap revenue again grew double digits year-over-year, consistent with our expectations. This performance was driven by ramping wins and share gains that we achieved. The broader industry recovery is taking longer than expected due to continued trade restrictions and tariff uncertainties. Looking into Q3 and the back half of the year, we expect to see continued softness in this sector while still outperforming the overall market's rate of growth. That said, the mid- to longer-term secular trends in the sector support our ongoing investments, and we expect to continue gaining market share given our unique vertical integration advantages. Furthermore, in speaking with customers, their conviction around a $1 trillion semi-cap industry by 2030 remains intact. Turning to our industrial sector. Revenue performance was flat year-over-year, but up mid-single digits sequentially. In the quarter, we saw improvements in test & measurement and controls. I was pleased by the industrial sector's bookings in the quarter, which included both the manufacturing takeaway in the instrumentation space, along with several key engineering wins. Looking forward, we would expect sequential growth throughout the balance of the year as end markets recover and new programs begin to ramp. Moving to A&D. We had another strong double-digit year-over-year revenue performance in the quarter, which we expect to remain the case throughout the balance of the year. We continue to see a stable commercial air environment with defense demand remaining strong. At the same time, we're encouraged by our growing momentum in satellite and space applications. Given our broad exposure in the sector, we again had a solid quarter of bookings across manufacturing, precision technology, engineering and solutions. In Medical, from a revenue perspective, we believe we have turned the corner and are anticipating sustained growth through the second half of the year. As we have shared with you on prior calls, customer inventory-related challenges impacted our growth over the last several quarters. We believe these are behind us now. To add to our positive sentiment, we have been winning new programs during this inventory correction period, and this continued in the second quarter with a very strong set of medical bookings across both manufacturing and engineering, including a competitive lift and shift takeaway program. As you can probably tell, we are excited by these results and our return to both year-over-year and sequential revenue growth. Finally, our AC&C revenue performed largely as expected in the quarter, down year-over-year and flat sequentially. As we've highlighted in the past, there have been a couple of unique dynamics that have weighed on AC&C revenue over the past number of quarters. We currently anticipate a return to growth within AC&C later in 2025 and into 2026. Specifically, within compute, we're seeing increased opportunities as customers look to leverage our water cooling expertise. This was a key differentiator in our role as the trusted partner for Intel's Aurora exascale supercomputer deployment, which we announced last week. I'm particularly pleased to report we're also winning in AI data center builds, which leverages the same complex assembly capabilities and water-cooling expertise that helps us win in HPC. Over just the last couple of quarters, we have won a few opportunities that will start contributing to AC&C's performance by end of the year. We believe this gives us line of sight to a return to sequential and year-over-year revenue growth in AC&C by late this year and into 2026. With that, I'd like to turn the call back over to Jeff for his summary of thoughts.
Jeffrey W. Benck: Thanks, David. In summary, please turn to Slide 13. Our second quarter represents another quarter of solid performance, further reinforced by exceptionally strong bookings despite a dynamic macro environment. Looking at our revenue performance, we remain encouraged by the early signs of recovery and are more optimistic about a return to growth for the company in the second half of 2025. Throughout, we will continue to prudently manage our spending to protect profitability and free cash flow, while at the same time, support our regular dividend and share repurchases. Before turning over to Q&A, let me close with this. Regardless of the market environment, Benchmark will stay true to our vision and mission, which is all about partnering with customers to create leadership products and delivering solutions that matter in the world. Our customer-first approach is central to this and is something we'll continue to hold as our core ethos. Coupled with our disciplined approach to served markets and financial management, we're confident in our ability to increasingly enable customer success while driving shareholder value for our stakeholders. I look forward to updating you on our continued progress in the quarters to come. With that, I'll now turn the call over to the operator to conduct our Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Steven Fox from Fox Advisors.
Steven Bryant Fox: I guess, Jeff, maybe could you start off giving us a little bit more perspective on the recovery you're seeing in AC&C from 2 aspects. One, the liquid cooling you guys have had a lot of experience with over the years, and it seems like others are still learning the process and builds there. So maybe your advantages, the experience you bring there? And then secondly, it's hard to get a sense for how big a recovery you're talking about. You've had some massive wins in the past that have rolled off. How do we think about just sort of the timing and strength of this rebound in AC&C? And then I had a follow-up.
Jeffrey W. Benck: Yes, that's fine. Good to hear from you. Good question. Yes, we talked a little bit about the water-cooling capability and the complexity of the HPC platform like Intel's Aurora that we talked about, pretty complex board build and water-cooled system in general. So, we always felt that there was an opportunity for us to be discriminating but participate in some of the AI activity knowing that those systems also share similar characteristics and are pretty sophisticated, but also require an infrastructure that we've already kind of built out given the large system exascale platform stuff we've done. We see that starting to bear fruit. And we do have a couple of wins there, as David mentioned, and we really see that's starting to ramp in fourth quarter. It's a little early to say how large that could be, but we know there's a lot of spending going on there across a whole set of the whole ecosystem. But we would kind of expect that to grow into '26. So, we don't think that it's necessarily a one-time deal. And it will augment the HPC business nicely. The one thing on the HPC side, with the next-generation platform moving out, and we've talked about that and how that was a bit of a headwind and partly what was weighing on it. We do see some smaller platforms kind of filling in on the HPC and maybe not something that would put itself in the number of 1, 2 or 3 spot on the top 500, but we have seen some backfill there as well. So, all of that is really leading us to say we really expect good year-over-year growth in the fourth quarter, and it bodes well for growth in AC&C in '26.
Steven Bryant Fox: Great. That's very helpful. And then on the semi-cap market, I'm trying to discern between politics and actual end market questions. Like how much is sort of versus 90 days ago is related to China restrictions versus other things you're seeing at the customers? Is there any way you could sort of talk about that and give us a sense for how much you think you're outgrowing the markets now?
Jeffrey W. Benck: Yes. It is a bit of -- it's a little bit of both. In other words, there's some certainly fab build-out and the timing on that and folks adjusting their capital spending, which I think is weighing some on our customers selling in there. But then also with the government restrictions about not selling into China, if you watch some of the OEMs, it's been a big piece of their business for the last several years, particularly in front of some of those restrictions. So, I think both are combining to put pressure on that recovery that we sort of -- we still believe will come, but it's certainly taking longer. We have one business, had a really good year last year and a lot of those platforms are -- have been ramping, and that's why we continue to believe we'll see growth through '25. A little early yet to say what '26 holds. We're hearing different -- we're hearing a little bit different indications from a variety of customers that we have in the space. So, I think I'm going to hold off a little on '26. But we believe that we have a very differentiated position in the space, and we continue to invest for incremental capacity. It's why we talked about the -- I think David mentioned the $1 trillion market in 2030. We still believe that it's going to be a long-term secular growth play. And we're using some of this time to move more into some vertically integrated solutions where we're not just machining metal, but obviously, we've been able to do complex assembly and clean rooms for that segment. We're also bringing in- house some cleaning processes and other things. So, we keep -- we're leveraging this opportunity to do more vertical integration for that sector and further really differentiating us.
Operator: Your next question is from the line of Melissa Fairbanks from Raymond James.
Melissa Ann Dailey Fairbanks: Really great quarter. Really good to see progress on several fronts. David, welcome to the call. It's great to hear you. You said the magic words. Yes, you said the magic words, AI data center, so get ready for that. I was maybe a little bit -- just a quick question on that. Obviously, you're coming from the HPC side of things, moving into some of these applications as the systems become much more complicated on kind of traditional hyperscalers. Are you seeing also any pull-through from what we're kind of calling like the next level of AI data center builds for some of like the enterprise AI? Or is it really still the highest performance type of systems?
Unidentified Company Representative: Yes. I think it's -- I believe it's going to be more of the former for us, right? So, I think you do see enterprise apps and you see that the opportunity is growing beyond just the hyperscalers. So, when you look at our participation, it's more in that realm.
Melissa Ann Dailey Fairbanks: Okay. Great. And you're probably going to get a million more questions about that in the future. Maybe pivoting to the medical side of things, really great to see an inflection in that business. It has been challenged for quite some time. I know that you've been winning a lot of new business there. Are you able to kind of break out how much of the sequential growth that you saw in the quarter was existing programs where the inventory overhang was maybe easing versus new programs where this is brand-new business and it's all incremental for you?
Jeffrey W. Benck: Yes. I'll take that one, Melissa. I would say, for the most part, it's the base business starting to come back, and we're seeing it from the inventory that we said was built up in the channels to dissipate. However, that said, we've had significant bookings. And I pointed out that we had a competitive lift and shift takeaway, just to illustrate that on lift and shift, time to revenue is a lot shorter than the typical 2.5- to 3-year cycles. So, we've got a number of programs that are in the ramp zone, and hopefully, we'll start seeing those contributing by next year.
Melissa Ann Dailey Fairbanks: That's great. Congratulations on that. I have one more question, if I can sneak it in, if that's all right. Okay. Bryan, I don't want to leave you out. Really nice progress still on the cash cycle days. Can you remind us what does each day reduction in cash cycle equal on the cash flow front?
Bryan R. Schumaker: Yes. On the cash flow front, that would be about $7 million for each day cycle. So, at 85 days where we're at today, you can imagine 1 day over the last period. So significant progress on the inventory, which we're excited about with the 6 days.
Melissa Ann Dailey Fairbanks: For sure. Do you have a longer-term target for the cash cycle days? Or is it just going to kind of depend on the macro?
Bryan R. Schumaker: Yes. If you look at -- our big thing is on inventory, right now, we're at 4.3 turns. And we're really looking to drive that at 5 to 5.5 is our goal, kind of what we're looking to do. So maybe on inventory, looking a little different from just the days to moving to that because as we shift and ramp up some of these programs, it's going to cause a slower kind of days on that front, but we're going to drive the turns to get that up to the 5 and 5.5.
Jeffrey W. Benck: I might just add to his comment. We have done a lot of work to bring inventory down. I think we're over $100 million just quarter -- year-over-year in the third quarter. We are still holding quite a bit of customer advanced payments. And so, if you net that, our turns are actually quite a bit higher. But we know over time, that will dissipate as excess inventory is consumed. So, what Bryan said is absolutely the case that we're focused on the turns, but we're doing actually better than that if you consider the cash on hand.
Operator: Your next question comes from the line of Anja Soderstrom from Sidoti.
Anja Marie Theresa Soderstrom: I have a couple of follow-ups and then some other questions. Just on the inventory improvement here, how do you expect to achieve that? Is that through implementing better systems? Or what are the puts and takes there?
Bryan R. Schumaker: Yes. I mean, there's just a lot of focus on that as we're looking at kind of the customer demand and optimizing kind of the days inventory. So, I mean, we have a group of individuals that are focusing on basically driving this days inventory down. There's a lot of focus on that. Of course, the systems will continue to improve that, to do that. I know as you look at the 6 days we had this period, I mean, it's maintaining that and improving upon that and then moving to the days from the 4.3 inventory on hand to the 5.5 is kind of what we're targeting. And again, there's a lot of focus on that across the organization and working with our customers and demand. I mean, operational focus is key for us and really involving all of our general managers and looking at each site and where they are in inventory along with each customer and working with our commercial team on just making sure that we're being super disciplined on it. And I think it's certainly something we established about 1.5 years, 2 years ago when inventory was a much bigger challenge. And we've just -- some brute force, some process, but discipline has been key to the progress we've made.
Anja Marie Theresa Soderstrom: Okay. And I'm also curious, in the medical call, you mentioned the competitive lift and shift program you won. How did you win that?
Jeffrey W. Benck: So, we -- when I joined a couple of years ago, we revamped our go-to-market strategy. And fundamentally, we took a different approach with regards to servicing our base customers much more diligently and paying much more attention to them and growing those customers. So, what we've built is we've built a proactive proposal team that goes out to our customers and brings forward new creative solutions.
Anja Marie Theresa Soderstrom: Okay. That sounds good. I mean, I know it's hard to win those over. So, it's encouraging to hear that.
Bryan R. Schumaker: And as the team executes well, it's the best driver of incremental business from our existing customers. So, it's nice to see the balance of not only growing our wallet share or our footprint with existing customers but also bringing on new clients.
Anja Marie Theresa Soderstrom: Yes. No, that sounds good. And also, I'm just curious within the aerospace and defense, you said commercial air is stabilizing. What are you seeing there? And what do you see -- how do you see that build up with Boeing and Airbus taking off a bit?
Jeffrey W. Benck: What I would say there is that, obviously, coming out of the pandemic, we were waiting for the international travel to pick up quite a bit. I think you see from the airlines that they're just generally travel is back, right? And even business travel has recovered quite a bit. I think David was talking a bit about the stabilization we've seen. It may not be growing at the rate that it was, but certainly, the demand has been pretty solid for us. And we play pretty broadly across commercial in different parts of the planes. And so, from that perspective, as that industry goes, we do as well. We have probably -- we have far less exposure to Boeing, which is just where we sit and where our wins are at. So, from that standpoint, we have a lot of exposure across the rest of the industry.
Operator: [Operator Instructions] Your next question is from the line of Jaeson Schmidt from Lake Street.
Jaeson Allen Min Schmidt: Just circling back to the Medical segment. It sounds like the inventory digestion period seems largely complete. Just curious if this was what you had expected sort of 3 months ago or if that has completed faster than expected and hence, why you're expecting sort of this more optimistic outlook for the second half here within Medical.
Unidentified Company Representative: Yes, I'll take that. What I would say is we started seeing things slow down in late 2023. And quite honestly, we thought it was going to clear out a lot sooner, and it just took a little bit longer than we expected. But we're pleased to see it dissipated now. And during that whole inventory clearing period, as I mentioned in my commentary, we were really busy working to gain incremental new awards. So, we're in a really good position now considering the market has stabilized and has turned the corner.
Jaeson Allen Min Schmidt: Got you. And then just as a follow-up, within your A&D segment, you noted sort of the new space program ramping, but just curious how big that kind of space sector is within the A&D bucket these days?
Jeffrey W. Benck: Yes, we haven't really broken it out. We don't get into the -- necessarily to the subsector size. But I would -- I guess I'd go enough to say that if we're highlighting it, it's not $1 million or $2 million. You know what I mean, it's a meaningful contributor and has the opportunity to be tens of millions. But depending on how that segment grows is going to really dictate how large that can get. But we haven't, as a subsector said what that means to us. We find it's an interesting space because it kind of leverages our RF know-how. It leverages our experience, putting complex systems up in the space and satellites, I think David highlighted. So, it's a good area with significant value add. But with some of the new entrants, you got to be nimble and be able to move quickly to the shifting needs. And so, I think that plays to our strength as well. And we're excited about our participation there.
Operator: There are no further questions at this time. I'd like to turn the call over to Paul Mansky for closing comments. Sir, please go ahead.
Paul Mansky: Thank you, Constantine, and thank you, everyone, for participating in Benchmark's Second Quarter 2025 Earnings Call. We will be participating in the Sidoti Small Cap Virtual Conference on September 17. For updates to this and other upcoming investor conferences and events, please refer to the Events section of our IR website at ir.bench.com. With that, we thank you all, again, for your support and look forward to speaking with you soon.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you very much for your participation.